Operator: Thank you for standing by. My name is Kathleen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Global Indemnity Group First Quarter 2024 Earnings Call. [Operator Instructions]. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the call over to Steve Ries, Head of Investor Relations. Please go ahead. 
Stephen Ries: Thank you, Kathleen. As a reminder, today's conference call is being recorded, and some remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including without limitation, beliefs, expectations or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will, in fact, be achieved.
 Please refer to our annual report on Form 10-K and our other filings with the SEC for descriptions of the business environment in which we operate and important factors that may materially affect our results. Global Indemnity Group LLC is not under any obligation and expressly disclaims any such obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. It is now my pleasure to turn the call over to Mr. Jay Brown, Chief Executive Officer of Global Indemnity. 
Joseph Brown: Thank you, Steve. Good morning, and thank you all for joining us for our first quarter call. I will first provide a few overview comments and then our new Chief Financial Officer, Brian Riley, will review the financial highlights for our insurance operations.
 What a difference a year makes? 12 months ago, we were in the midst of a significant restructuring of our insurance activities. Our then current results were a mix of ongoing and exited businesses, making it difficult to gauge performance. To assist investors on how to assess our progress, we have reaffirmed a simple set of objectives, consisting of 3 long-term metrics as guidelines for measuring the performance of our ongoing insurance operations, revenue growth, underwriting performance and expense management.
 The metric goal for revenue growth was to achieve a long-term annual average for premium written of plus 10%. Our underwriting performance, we want to see a combined ratio in the low 90s. And then to achieve our desired underwriting performance, we need to have a 36% to 37% expense ratio over time given our current mix. As Brian will highlight, we have made substantial progress against these goals and the comparison to first quarter results from a year ago, demonstrates real value creation for our shareholders.
 In terms of revenues, most of our insurance divisions are tracking against long-term double-digit growth. We expect that the combination of Penn-America wholesale commercial InsurTech and assumed reinsurance will achieve this target by year-end. However, the expansion of our program division remains a work in progress and will lag behind a bit in 2024.
 Looking at the underwriting performance, I was extremely gratified to see a combined ratio of 94.0% for the Penn-America segment in the first quarter. This performance was driven by a continuation of achievement of solid casualty loss ratios and a super quarter for property loss ratios. Offsetting this a bit was a higher than target expense ratio of 39.2%. While we have kept our internal costs in check from last year after the dramatic drop we experienced in premium from 2022 to 2023, it will take another couple of years for us to start hitting our long-term targets for expense ratio. This reflects a very conscious decision to maintain our Penn-America staff this year at 2023 levels after the substantial reduction from 2022 in order to continue to meet the service needs of our customers.
 We are also investing heavily in a full digital transformation of our existing technology infrastructure to stay competitive in the markets we serve. We do continue to achieve rate increases that are modestly in excess of our assessment of underlying inflation trends. This should allow us to maintain the consistent long-term loss ratio results, we are both currently achieving and having experienced historically.
 We also continue to deliver outstanding investment returns following the repositioning of our investment portfolio to take advantage of the dramatic increase that has taken place in short-term interest rates. Book yield should continue to increase modestly throughout the year as roughly half of our existing investments will mature in the next 12 months. Overall, I was very pleased with the improved results we saw this quarter, I will now turn it over to Brian to provide a more detailed review of the numbers. 
Brian Riley: Thank you, Jay. Net income was $11.4 million compared to $2.5 million in 2023. The combination of net income and a $3 million increase in market value of the fixed income portfolio. Book value per share increased from $47.53 at year-end to $48.18 at March 31. Including dividends paid in 2024, return to shareholders was 2.1% for the first quarter of 2024.
 Dividends of $0.35 per share were paid during the quarter, an increase of 40% over the $0.25 per share paid quarterly since inception in 2018. This quarter, both underwriting and investment performance contributed to the improvement in net income.
 Starting with investments. Investment income increased 21% to $14.5 million a year ago. Actions taken since early '22 to sell longer-dated securities and shortened duration have translated into much higher current book yields. Cash flows of $22 million plus $146 million of fixed income securities yielding 3.4% that matured during the quarter were reinvested at an average yield of 5%.
 The current book yield on the fixed income portfolio is now 4.3%, an increase of 26 basis points in the last 3 months. Duration on the fixed income portfolio is 1.06 years at March, down from 1.15% at year-end. The average credit quality of the fixed income portfolio remains at AA minus. It is worth noting that the magnitude of the change in our fixed income portfolio in the last 9 quarters. Comparing the current yield of 4.3% duration of 1.06 years, at December 31, '22, book yield was 3.4% with the duration of 1.7 years. And at December 31, 2021, book yield was 2.2% with the duration of 3.2 years.
 For the remainder of '24, we expect investment portfolio will generate an additional $700 million of cash flow from investment income and maturities. For reference, the average book yield on the fixed income investments maturing in the remainder of '24 is approximately 4%. If the current entire interest rate environment continues through year-end, our portfolio remains well positioned to further increase investment returns.
 Now let's move to underwriting performance. We had a very strong start to the year. The current accident year consolidated underwriting income was $5.3 million compared to a loss of $600,000 in 2023. This was driven by a consolidated accident year combined ratio of 94.9% compared to 100.6% in 2023.
 The improvement in the current extra underwriting income was due to strong performance in our core business, Penn-America. Penn-America's accident underwriting income of $5.7 million compared to a loss of $800,000 in 2023. As Jay noted, Penn-America's accident year combined ratio is 94%,  an improvement of 7.2 points from 101.2% in 2023. The excellent overall accident year loss ratio of 54.8% was mainly due to the performance of our property business.
 The property loss ratio improved to 50.1% compared to 68.7% in 2023. Non-catastrophe performance was the primary driver due to a decline in the number of large fire losses we experienced in 2023. The non-cat loss ratio improved to 41.9% compared to 59.9% in 2023. The cat loss ratio improved slightly to 8.2% compared to 8.8% in 2023. The casualty loss ratio of 58.6% remains in line with expectations.
 Unlike our noncore operations have diminished effect on the overall performance. Our noncore operations, net earned premiums dropped $7.5 million compared to $49.5 million in 2023. The drop in earned premium from 2023 is mainly from an assumed retrocession casual treaty, which was determinated at end of '22. For 2024, the underwriting loss was only $400,000.
 The client ratio was 105.5%. The loss ratio was in line with expectations at 60.6%, but runoff expenses remain a bit high, as we wind down a number of smaller underwriting portfolios.
 Moving to calendar year underwriting income. Consolidated calendar year underwriting income was virtually identical to the accident year with $5.3 million in 2024. This compares to a loss of $1.1 million in 2023. The impact of prior accident years changed by less than $1,000 in 2024. Booked reserves remain solidly above our current actuarial indications.
 Turning to insurance revenues. Consolidated gross written premiums was $93.5 million in 2024 compared to $123 million in 2023. The majority of the decrease is from our runoff business in our noncore segment, which declined $28.1 million year-over-year. Penn-America's gross written premiums was $94 million in 2024 compared to $95.4 million in 2023. This decrease is in line with our plan due to programs terminated in '23 that did not meet our long-term growth and underwriting expectations.
 Excluding these terminated programs, Penn-America's gross written premiums grew from $90.7 million in 2023 to $94 million in 2024, a 4% increase. As for each of the divisions within Penn-America, first, wholesale commercial, which focuses on Main Street small business, grew 5% to $61.1 million compared to $58.3 million in 2023. Rate and exposure increases were 10% in the first quarter. Overall, the short-term growth rate is in line with expectation. Underwriting actions in certain states to improve underwriting income has suppressed first quarter growth to 5%, but we expect to close, close to 10% for the full year.
 Second, InsurTech, which consists of [indiscernible] collectibles grew 17% to $12.5 million compared to $10.7 million in 2023. Let me break down those 2 products. First [indiscernible] Express grew 22% to $8.9 million, driven by organic growth from existing agents and agency appointments. New technical automation implemented in the third quarter of 2023 for our vacant dwelling products, including expansion of [indiscernible] general liability product contributes to the growth in premium our agents are producing.
 Collectibles gross written premiums grew 6% to $3.6 million. Our assumed reinsurance book of business continues to grow at a nice pace tracking with our plan to see significant growth in 2024. We expect at least 3 new trees commencing in 2024.
 Programs, excluding the terminated programs I mentioned earlier, was $20.5 million, lower than $23 million by $1.4 million. New programs contributed $600,000 during the quarter. In closing, we are pleased with the start of 2024. Further, our outlook for the full year is very positive. Penn-America continues to show strong current accident performance. We believe premium pricing is meeting loss inflation.
 Discretionary capital continues to increase due to income and reduced capital needs for the runoff noncore business. This will support growth and other corporate opportunities. We expect continued increase in book yield on the fixed income portfolio as the $700 million of cash flows from investment income and maturities currently yielding 4% will be invested at higher rates during the remainder of 2024. Thank you. We will now take your questions. 
Operator: [Operator Instructions]. Your first question comes from the line of [ Dan Baldini of Auburn ]. 
Unknown Analyst: Say the company's combined ratio has improved very nicely and so is the investment income. But the ROE remains sort of pedestrian. And I'm wondering what you can do to improve the ROE going forward. 
Joseph Brown: It's a good question. The biggest reason that our reported ROE is continues to be low, even at these good results is the simple fact is that we're overcapitalized to a significant degree. We estimate we have approximately $200 million in excess capital available for other purposes. Our Board continues to evaluate what the best alternatives are for that Board.
 As noted in our press release, we did increase our dividend in the last quarter of around 25% to 35%, or 40% increase and we're going to continue to look at that throughout this year to determine what's the best use of that cash on an ongoing basis. 
Operator: We have one comment in webcast from Nathan [indiscernible]. It says please discuss GBLI interest in pursuing a transaction with James River Insurance. 
Joseph Brown: I've heard about that in terms of what I've read in the papers. We have had conversation with James River. Those conversations are on pause at this point. We may reexamine that later on if there's continued interest on both parties' part to pursue something. 
Operator: Thank you for that. And your next question comes from the line of Tom Kerr of Zacks Investment Research. 
Thomas Kerr: Can you go over the expense ratio issue again? I didn't understand it completely. If Penn-America continues to grow organically or sequentially and programs declined, I'm not sure why it would take years to get down to your target 36%, 37% expense ratio. So maybe I'm missing something. 
Joseph Brown: No, you're accurate. It depends on how much growth we have over the next 2 years which will determine when that becomes earned premium because we're still in a decline in terms of earned premium as a company as a result of the steep drop that we experienced in premiums written last year and as that works through the system. So we're still cruising down a little bit in terms of earned premium.
 In terms of the dollars associated with expense ratio. Most 2/3 of our expenses are basically set as a percentage of premium written based on commissions and other premium-related charges. So the big variable over time is our internal operating costs for Penn-America, those currently run around $47 million, $48 million a year. That's roughly where they were last year. They will increase modestly in terms of staff. The staff makes up about 2/3 of that expense.
 And so as we go forward, assuming we have a 3% to 5% kind of change in salaries, we have to kind of overcome that with greater growth for that ratio to actually come down. We expect that, that should be achieved by 2026 with progress shown throughout this year and into next year, hopefully marking that in terms of increments quarterly by quarterly. 
Thomas Kerr: Okay. Just to reiterate that last point, there is going to be incremental improvement quarter-over-quarter sequentially, but just not the target for a couple of years. 
Joseph Brown: Right. We're going to -- that comparison for '24 will be modestly higher for each of the quarters in '23. But in terms of its actual percentage of earned premium, it should start going down as the year progresses. 
Thomas Kerr: Got it. Okay. One more question. The last time we talked about a lot of problematic books out there. Anything in the horizon worth discussing any serious problematic programs out there that are nagging on you still? 
Joseph Brown: No. At this point, we're pretty happy with the book of business. The reserve development, which we experienced last year, which was a result of the [indiscernible] those businesses at the beginning of '23. That effect has died down. We had very little volatility in our reserve book during this past quarter. We are experiencing a little bit of lingering effect in terms of growth opportunities because when we take down a portion of our business, for example, New York habitational, it takes down some of the agents' interest in giving us other business during that time period.
 So we saw our East region, for example, is relatively flat year-over-year, whereas our West region is up almost 20% during the same time period. So that's -- so it has an effect, not necessarily on losses, but it does have a lingering effect on premium revenue. 
Operator: Your next question comes from the line of Ross Haberman of RLH Investments. 
Ross Haberman: I had 2 quick questions. Could you talk a little bit about your plans to put to work that $200 million of excess capital? One of your earlier questions talked about the James River potential yield. Could you talk about acquisitions in general? What do you think about them? Are you actively looking for them? And related to that, it looked like your stock -- the number of shares actually went up in the quarter. In prior calls, you were talking about buying back shares, are you currently doing that now? 
Joseph Brown: Let me take the latter question first in terms of share buyback. We are active in terms of entertaining reverse inquiries. During the past quarter, we did not have any in-market repurchase activity, partially because in the first quarter, we have a very narrow window which is actually open. I think it's less than 10 days that we feel comfortable buying back shares.
 In terms of the disposition or what will happen eventually with the $200 million, obviously, we always want to keep a comfortable cushion for internal growth, but we're generating positive capital at our current growth rate. So this is going to be an ongoing question for us.
 We are active and have always been active in terms of looking at other potential acquisitions. We, like most companies find -- you have to be extremely careful when you make those decisions. We've had some success over the years, and we've had some sideways results from investments in terms of making acquisitions.
 There are opportunities out there. Our Chairman, Mr. Fox, Pain has a 25, 30, 40-year record of investing in insurance operations. So a lot of people approach them from time to time with different ideas, and we continue to entertain those. But like everything, it's right now, we just don't have anything to announce that we're actively working on or looking at current time. 
Ross Haberman: Just connected to that vis-a-vis when you're looking for new books of business or other companies, do you weigh that option as opposed to continuing to be maybe more aggressive in terms of buying back your own shares, which is a better option? 
Joseph Brown: That is a perfect question that we debate continuously at our Board in terms of what the benefits of buying back shares versus potentially either putting the accelerator down and trying to grow organically faster or adding books of business.
 I think at this point in time, at this share price, obviously, any shares that we could buy back anything resembling close to where it is right now, are very, very accretive to book value and create value for all shareholders when that occurs. So we're going to continue to try and explore that over the short term for a portion of our excess capital. 
Operator: We have another question from the webcast from [ Michael Obrien]. It seems like a buyback program is a no-brainer at this level. Why not be more proactive on buyback? 
Joseph Brown: I think I kind of answered that with the last question. So unless there's a follow-on, I think we'll let it ride with what I already answered. 
Operator: The next is from Andrew Vindigni. Any consideration on for a special dividend understanding that this may not be a tax efficient though? 
Joseph Brown: The question is, is there any interest in doing a special dividend? One of the things that is unique about our structure as a publicly traded limited partnership, a majority of the dividends that we distribute are deemed as return of capital, given most investors and most shareholders basis. So unlike a lot of companies where it is not necessarily tax efficient to do special dividends.
 We look at that through a slightly different lens in evaluating whether that's a good thing to do. And again, that sits with the other uses of excess capital that's continuously evaluated by our Board. 
Operator: And we have a follow-up question from [ Dan Baldini of Aubron ]. 
Unknown Analyst: So at some point, I can't remember last year, you announced that you'd received interest in what inbound interest in Penn-America and then you announced that you were reviewing alternatives for Penn-America and the entire company, I believe. And then a few months later, you announced that those discussions ended. And I imagine it's because any of this interest that came in, was that a valuation that you didn't agree with?
 And now in these James River stories that were out there, maybe they're wrong, mentioned that you were considering paying in part for James River with stock. And I'm just curious, are there any sort of circumstances under which you give away shares at the current valuation in an acquisition? 
Joseph Brown: It takes a very unusual situation given where our shares are currently trading to use our shares in any kind of an acquisition. We have -- obviously, we have a large amount of excess capital, which would be the first thing we would tap before we consider any share issuance, once in a while you run across a transaction that, for a variety of reasons, you might want to use stock but that's a pretty rare occurrence.
 As to any comments about a transaction that was at or was potentially discussed with James River, I can't offer any commentary. 
Operator: We have another follow-up question from Tom Kerr of Zacks Investment Research. 
Thomas Kerr: Yes. Just a quick one on the investment. I've heard you guys comment on the level of equity securities in a long time, remains at low level, $17 million on a $1.3 billion portfolio. Any change in thinking on that increasing equity securities investments? 
Joseph Brown: Our Board is -- has been playing -- we played defense. As I think you know from our history 2 years ago, in making a decision to dramatically shorten our investment portfolio and to liquidate our then portion of equity securities. We are looking at what our long-term portfolio should look like as we go through this period of interest rates, which are starting to stabilize and perhaps eventually kind of come down a bit or even maybe more likely stay sideways. At that point, it becomes [ behooves ] us to start making changes in our portfolio composition from what is essentially right now, 100% short-duration fixed income portfolio.
 Personally, from my perspective, it always makes sense to have a portion of your portfolio in equity securities. And that I would expect that you'll see that redeployment take place sometime in the next couple of years in our portfolio. 
Operator: [Operator Instructions]. There are no further questions at this time. I will now turn the conference back over to Steve Ries for closing remarks. 
Stephen Ries: Thank you, Kathleen, and thank you, everybody, for joining us for our first quarter '24 call. If you have any additional questions, please reach out to me, and we look forward to talking to you after the second quarter. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.